Katsuya Yamamoto: My name is Yamamoto. Thank you for your participation. Now, I would like to present financial highlights. The consolidated results for the second quarter of fiscal year 2024 show some variation from segment to segment, but results overall were positive, and we recorded the highest-ever revenue and business profit for a second quarter. Regarding the full year forecast for fiscal year 2024, this has been revised for each segment based on the first half financial results. However, the overall forecast of JPY130 billion in business profit remains unchanged from the initial forecast, and the dividends remain unchanged at JPY140 per year. This concludes the summary. I will provide more details beginning on Page 3. In the second quarter of fiscal year 2024, orders received were JPY895.3 billion, revenue was JPY884.1 billion, business profit was JPY47.7 billion, and quarterly profit before tax was JPY23.7 billion. Quarterly profit attributable to owners of parent was JPY13.6 billion. Despite the positive results for business profit, for quarterly profit before tax and subsequent items, there was a smaller increase in profit margin because of reduced valuations of foreign currency denominated assets. This was caused by the sudden strengthening in the yen at the end of September. As you can see, the weighted average exchange rate was approximately JPY14 weaker than that of the previous year, and US dollar-based transactions amounted to approximately $1.03 billion. This chart provides a breakdown of orders received, revenue and business profit for each segment. As you can see in one, there was a significant recovery in the Aerospace Systems business from the loss in PW1100G engine business in the same quarter last year. There was also a sharp improvement in the profitability of the Aero Engine business. These developments led to a large jump in income. Meanwhile, as you can see in two, there was a drop in income in the Powersports & Engine business, resulting from factors such as higher fixed costs and investment to increase production as well as responding to a recall for offroad four-wheeler vehicles and delays to production launch at a new factory. Please see the chart for details. As shown in two, SG&A expenses increased as a result of business expansion, further inflation, and a weaker yen. Meanwhile, equity method investment income followed an improving trend, mostly thanks to better results at the joint venture in China in Ship & Offshore Structure. On Page 6 of the income statement, as shown in 4, we recorded a foreign exchange loss of JPY15.7 billion. This is primarily due to the revaluation of receivables at the end of September when the exchange rate was significantly stronger than the weighted average exchange rates for the end of fiscal year 2023 and the second quarter of fiscal year 2024. Consequently, quarterly profit attributable to owners of parent increased by JPY37 billion year-on-year to JPY13.6 billion. Next, I will explain the factors behind changes in business profit compared with the same period last year. Business profit increased by JPY58 billion as a result of the recovery from losses recorded in relation to the PW1100G engines. Regarding the exchange rate, the depreciation of the yen was a factor contributing to an improvement of JPY24.5 billion. Additionally, changes in product mix, including strong performance in Aero Engine and appropriate price pass through, contributed to an improvement of JPY12.1 billion. However, SG&A expenses increased by JPY14.7 billion, primarily in the Powersports & Engine business, resulting in business profit increasing by JPY80.6 billion year-on-year to JPY47.7 billion. From the quarter under review, a change has been made in respect to the impact of exchange rate fluctuations pertaining to changes in SG&A expenses, which are now included under exchange rate fluctuations and no longer included under changes in SG&A expenses. Please refer to Page 8 for a detailed breakdown by segment. Please refer to the provided materials for details on the factors contributing to changes in assets at the end of this quarter. Regarding changes in liabilities and net assets, as shown in 3, while interest-bearing debt has increased, the debt to equity ratio was 109.6%, which was a similar level to the same period last year. We will continue to strive for improved asset efficiency to achieve our target net debt to equity ratio of 70% to 80% by the end of the fiscal year. As shown in 1, operating cash flow worsened by JPY21.5 billion compared to the same period last year, resulting in a cash outflow of JPY36.9 billion. This was due to increased inventories in the Powersports & Engine business and Aerospace business. For reference, we have provided a chart showing the cash flow trends over the past 10 years. Turning to the business forecast for fiscal year 2024, orders received were revised upwards in the previous announcement, and this has been revised upwards again, by JPY20 billion to JPY2.43 trillion. Meanwhile, regarding revenue and profits, for reasons such as businesses' first-half performances, market fluctuations, and the impact of the company's measures, revenue was revised downwards by JPY70 billion compared with the previous announcement to JPY2.18 trillion. Business profit was kept at JPY130 billion, and profit before tax fell JPY15 billion to JPY95 billion as a result of incorporating foreign exchange losses. Profit attributable to owners of parent was also revised downwards, dropping JPY5 billion to JPY73 billion. The assumed exchange rate used for the purposes of these forecasts is unchanged from the previous announcement at JPY140 per dollar. The breakdown by segment is shown in this chart. Detailed explanations will be provided on the individual segment pages. This slide shows the results for the second quarter of fiscal year 2024. In addition to a recovery from losses related to the PW1100G engine recorded last year, both Ministry of Defense related orders and Aero Engine have performed well, with revenue significantly exceeding that of the same period last year. Regarding the full year forecast, orders received were down JPY20 billion and revenue was down JPY10 billion compared with the previous announcement affected by the strike at Boeing. However, business profit was up JPY7 billion as a result of improved profitability in the Aero Engine business. For your reference, this page provides the results of orders and revenue in each business, the number of aircraft component parts sold to Boeing, and the number of jet engine component parts sold in the Aerospace and Aero Engine businesses, respectively. This page shows the quarterly trends in revenue and business profit. Also provided for your reference, it gives an overview of past trends. This page outlines the current state of the business environment and order trends in the segment. It also presents the specific efforts we are taking to achieve the forecasts. Other than Boeing-related remarks, there were no major changes from the previous announcement. This slide shows the results for the second quarter of fiscal year 2024. Compared to the previous fiscal year, business profit increased JPY1.3 billion to JPY1.6 billion as a result of increased revenue, mainly of our 211 cars to New York City Subway in the US. We will continue working to achieve the targeted business profit of JPY7 billion and profit ratio of 3.3% as set out in the full year forecast by steadily implementing production and delivery of our 211 cars. This page shows orders received and revenue in the Japanese, Asian, and North American markets. For your reference, it also shows revenue in after-sales service, which has been a profitable business undertaking, and the progress of the R211 project for the New York City subway in the US. For your reference, this page shows quarterly trends in revenue and business profit. Regarding the business environment and order trends, we have noted the resumption of investment in railway cars in the domestic market. Other than this item, there are no changes from the previous announcement. This slide shows the results for the second quarter of fiscal year 2024. In terms of profit, equity method earnings remained strong, similar to the same period last year. Regarding the full year forecast, orders received were revised upwards by JPY100 billion for reasons such as an expected increase in orders received for LPG and ammonia carriers. Turning to revenue, the forecast revenue of JPY10 billion was revised downwards for reasons such as reviewed construction progress in plant business. However, business profit was revised upwards by JPY2 billion for reasons such as increased equity method earnings in Chinese Ship & Offshore Structure business. This page provides a breakdown of orders received and revenue for the Energy System & Plant Engineering business and the Ship & Offshore Structure business. This page shows quarterly trends in revenue and business profit for your reference. Looking at specific efforts, the key role in this segment is played by products and services that contribute to a low carbon or decarbonized society. Please feel free to read our introduction of orders received for our 30 megawatt gas turbines, which have the highest output in our company's lineup of products sold in Taiwan, as well as our successful verification products sold in Taiwan, as well as our successful verification testing of a hydrogen mixed fuel large gas engine for power generation. This slide shows the results for the second quarter of fiscal year 2024. Orders, revenue and profit all improved sharply year-on-year due to a gradual improvement in the market environment. Profit increase was also due to profitability improvements resulting from price revisions in the hydraulic equipment business. Regarding the full year forecast, revenue was revised upwards by JPY10 billion, and business profit was revised upwards by JPY1 billion as a result of increases in hydraulic machinery for the Chinese construction machinery market, as well as robots for automobiles. This page shows orders received and revenue for both the Precision Machinery & Robot businesses. Revenue of hydraulic components to the Chinese market and a breakdown of robot-related revenue by field are also provided for your reference. This page shows quarterly trends in revenue and business profit for your reference. There are no changes from the previous announcement in terms of the business environment. Please refer to our introduction of our steady commercialization in the social robots field, including the entry into service of indoor delivery robots at multiple healthcare facilities. As the slide shows, the results for the second quarter of fiscal year 2024 show a decrease in revenue of JPY13.8 billion compared with the same period last year. This is the result of suspended shipments because of a recall on four-wheelers in North America, which continued from the preceding quarter, and delays to the launch of production at the new plant in Mexico, despite a strong performance in motorcycles and effects from a weaker yen. Regarding the full year forecast, under these circumstances, revenue for the whole segment was revised downwards by JPY60 billion to JPY660 billion, heavily affected by a drop in four-wheeler and PWC revenue of JPY108 billion compared with the previous announcement, despite an increase in the plan for motorcycles and others. Regarding business profit, the forecast fell by JPY17 billion to JPY51 billion as a result of decreased revenue. This page shows revenue for motorcycles for developed countries, motorcycles for emerging markets, four-wheelers and PWCs, and general purpose engines. We have also included regional sales volumes for motorcycles and sales figures for four-wheelers and PWCs in the second quarter. Regarding planned vehicle sales for the full year, motorcycles for developed countries were revised upwards from the previous announcement by 15,000 vehicles to 275,000 vehicles, and motorcycles for emerging markets were revised upwards by 35,000 vehicles to 295,000 vehicles. In contrast, four-wheelers and PWCs were revised downwards by 50,000 vehicles to 90,000 vehicles. For your reference, this page shows quarterly trends in revenue and business profit. This page provides a market overview and describes the specific efforts in the powersports and engine business. No major changes have been made from the previous announcement. Regarding shareholder returns, the planned annual dividends for this fiscal year remain unchanged at JPY140 per share, as previously announced. Here, I would like to report on three project topics. The first topic is the hydrogen business, which we are working on as a core next-generation business. CB&I is the world's leading designer and builder of storage facilities, tanks and terminals. We concluded a strategic agreement with CB&I with the goal of promoting a commercial-use liquefied hydrogen supply chain. The two parties are aiming to build a commercial-use liquefied hydrogen supply chain at an early stage by sharing their respective knowledge in the field of liquefied hydrogen storage facilities in particular. On this page, we introduce the September 2024 establishment of a joint venture in China in hydraulic equipment business. The joint venture was established in collaboration with leading Chinese hydraulic equipment manufacturer, EDDIE, on the premises of Kawasaki Precision Machinery, Suzhou Limited. In the Chinese construction machinery market, there is currently intense price competition for middle-class models and below. However, looking ahead, growth is forecast in the market for high-end machines targeting added value through differentiated technologies. Accordingly, for Kawasaki, which possesses strength in differentiated technologies in areas such as systems response capabilities, there is likely to be significant scope for sales growth in the medium to long term. In view of this situation, securing expanding our underlying market share in hydraulic equipment for popular machines through the recent establishment of a joint venture will contribute significantly to future sales expansions in hydraulic systems and help us to target sustainable growth. Lastly, in railway car business, we introduce our 5000th delivery of a passenger railway car to our company's main market, the United States. A milestone event was attended by chair and CEO Janno Lieber of the MTA, a New York State Transportation authority, who gave a positive message with strong hopes for the future role of Kawasaki. Our presence in the New York region continues to go from strength to strength. Looking ahead, we plan to proceed with business revitalization by expanding our market share in the New York region, where strong demand for railway cars is expected, and to reform the business into one that contributes to increased corporate value. This page shows the factors contributing to changes in the full year business forecast concerning business profit from the beginning of this period. As shown in this slide, despite a decrease in revenue in Powersports & Engine and an increase in SG&A expenses, the forecast of JPY130 billion in business profit remains unchanged due to impact of exchange rate fluctuations, equity method earnings reversing risk buffer set at the beginning of this period. The following pages contain supplementary information. This concludes the presentation. Thank you for your attention.